Operator: Welcome to the Principal Financial Group Second Quarter 2016 Earnings Release Conference Call. [Operator Instructions]. I would now like to turn the call over to John Egan, Vice President of Investor Relations.
John Egan: Thank you and good morning. Welcome to the Principal Financial Group's second quarter conference call. As always, our earnings release, financial supplement and slides related to today's call are available on our website at Principal.com/investor. Following a reading of the Safe Harbor provision, CEO, Dan Houston and CFO, Terry Lillis, will deliver some prepared remarks. Then we will open up the call for questions. Others available for the Q&A are Nora Everett, Retirement and Income Solutions, Jim McCaughan, Principal Global Investors, Luis Valdes, Principal International, Deanna Strable, U.S. Insurance Solutions, and Tim Dunbar, our Chief Investment Officer. Some of the comments made during this conference call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act. The Company does not revise or update them to reflect new information, subsequent events or changes of strategy. Risks and uncertainties that could cause actual results to differ materially from those expressed or implied are discussed in the Company's most recent annual report on form 10-K and quarterly report on form 10-Q filed by the Company with the U.S. Securities and Exchange Commission. Before I turn the call over to Dan, I'd like to announce two upcoming investor events. The first is on September 13th in Tokyo. Senior leaders from our Asian operations in Principal Global Investors and Principal International will present on the opportunities in Asia. Additional information is available on our website. Second, we're hosting an Investor Day in New York City on November 16th. Our executive team will provide an update on each of our businesses with a particular focus on some of the key topics in our industry. We'll be e-mailing invitations for this event in the coming weeks. We hope you can join us for one or both of these events. Now I'd like to turn the call over to Dan.
Dan Houston: Thank you, John. I want to start by expressing my continued confidence in our strategy and our diversified integrated set of businesses that work well together through the lens of our client. I'd characterize our results through six months as strong, particularly so given the context of four macroeconomic headwinds impacting our businesses, volatile equity markets, volatile emerging markets and foreign exchange rates, low interest rates and growing demand for lower-cost investment options. Despite these pressures, over the trailing 12 months we've delivered more than $1.2 billion in operating earnings, $17 billion of net cash flows and a $33 billion increase in assets under management. As shown on slide 5, strong investment performance remains a key contributor with 90%-plus of our Principal mutual funds, separate accounts and collective investment trust above median for three- and five-year performance at the end of the second quarter. These results reflect several other strengths as well. I'll briefly share some thoughts on each of them, starting with our success managing the right active strategies. While many other active managers are struggling, Principal Global Investors delivered $6.4 billion in positive net cash flows through the first half of 2016. The success reflects our focus on asset allocation, multi-asset, multi-manager strategies and our outcomes-based solutions. While volatile conditions remain, our strong net cash flows reflect strong underlying growth. We benefit again from a diversified business model, but more importantly, from how our businesses are integrated. Retirement and income solutions is central to that integration and our ability to meet customer needs throughout the spectrum of accumulation and retirement income stages. When full-service accumulation grows, it drives enterprise growth. Increasing the pool of retirement assets for Principal Global Investors to manage as well as growth for our retail funds and annuity businesses and, of course, Principal Bank. The U.S. retirement industry is a competitive market. That said, we remain highly competitive and the fundamentals remain strong. We added 1,100 net new defined contribution plans over the trailing 12 months and nearly 100,000 new participants with account values. I'd also point to our exceptional joint venture partners. Despite the severe recession in Brazil we have nearly $4 billion of positive net cash flows through mid-year. Much can be attributed to the relationship with our partner, Banco do Brasil. Another example is our joint venture with China Construction Bank. Over the trailing 12 months our pretax operating earnings in China have nearly tripled to $34 million. While the vast majority of China's assets under management growth and net cash flows this quarter were institutional and short term in nature, we're building momentum with retail investors. A couple additional points on our opportunity in China. First, an update on last quarter's announcement about the memorandum of understanding we signed with China Construction Bank to develop a new pension joint venture. Again, this is a longer term initiative but we're already dedicating resources. We're also doing a lot of work behind the scenes to share Principal's pension and asset management expertise with China Construction Bank and build relationships with leadership at their pension company. Lastly, as the result of our long term commitment to China and strong relationship, I had the privilege of participating in the U.S./China Strategic Economic Dialogue in Beijing in June. This gave me an opportunity to further discuss our commitment to improving retirement readiness in China and to that end, the importance of Principal obtaining a pension license. The last area I will cover is our continued strong track record of execution. Specialty benefits is a great example. The level and consistency of growth and profitability in this business continues to be industry leading, reflecting our focus on small- to medium-size businesses, strong pricing discipline and strong claims management. Strong execution also applies to three other areas I've been highlighting with investors, our solution set, distribution and customer experience. Here are a few examples that reflect our ongoing effort to evolve the organization in these areas and position Principal for sustainable, profitable growth. I'll start with PlanWorks, our retirement readiness plan design. Through the first six months of 2016, we've increased the number of PlanWorks contracts by 25% compared to the same period a year ago and more than doubled the number of additional participants covered. While this is resource intensive and is accomplished one plan at a time, this work is moving the needle in two important ways. First, higher participation rates and the use of automatic deferral increases is contributing to growth in recurring deposits which are up approximately $500 million for the first six months of 2016. Second, better participant outcomes contribute to continued strong contract level retention which is more than 97% through mid-year 2016. From a distribution standpoint, we continue to make meaningful progress getting our funds on third-party platforms, model portfolios and recommended lists. Through mid-year 2016 we put more than 20 different funds on nearly 20 different platforms, with success across equities, fixed income, as well as alternatives. Moving to our solutions set, in addition to multiple fund launches in first half of the year we've positioned multiple offerings for the second half launch. Our global product strategy contemplates opportunities such as accelerating demand for income solutions due to the aging global populations, potential disruption from regulatory changes, as well as the trend toward lower-cost product structures. As one final example, I'll highlight our recent launch of online individual life and individual disability insurance purchasing portal. We're already seeing strong interest in the site that is producing leads and conversion to sales of nearly 10%. This demonstrates the need individuals have for these products and their desire to engage with us to further protect their financial future. Before I hand off to Terry, I want to provide a brief update on work we're doing to prepare for the implementation of the Department of Labor's fiduciary rule. We're making significant progress working with multiple distribution partners to design an array of best-interest solutions and address changing business models. As we said last quarter, we believe we'll continue to lead the industry by creating sustainable solutions that meet the needs of the market, by managing assets appropriate for retirement and other of long term strategies and providing a diversified portfolio of in-plan offerings and systematic withdrawal solutions. Since the release of the final rule, our cross-business unit teams have gained a clearer understanding of the cost to cover training and system and product modifications to ensure we can continue to serve advisors and customers post implementation. We anticipate the increased cost will be approximately $1 million per month over the next 18 to 24 months. Once fully implemented we estimate the annual operational cost associated with the new rule to increase annual expenses by $5 million to $10 million. In closing, again, the fundamentals of our business remain strong and we continue to position Principal for long term growth through strong execution and ongoing investments to enhance our competitive position. Terry?
Terry Lillis: Thanks, Dan. This morning I'll focus my comments on operating earnings for the quarter, net income, including performance of the investment portfolio and I'll close with an update on capital deployment. Our teams delivered strong results in the second quarter, proving once again that our diversified and integrated business model drives results despite some ongoing macroeconomic volatility. Second quarter total Company after-tax operating earnings were $337 million, the second highest on record. This was a 3% increase compared to the normalized year-ago quarter and an 18% increase over first quarter 2016. As we mentioned last quarter, we continue to manage the long term growth rate of expenses in line with revenues and we'll continue to see a positive impact from that in the second half of 2016. Compared to second quarter 2015, the S&P daily average was more than 1% lower in second quarter 2016, resulting in lower fee income and impacting earnings on our fee-based businesses. However, compared to the first quarter, the daily average was up 6%. Additionally, persistent low interest rates pressure our spread and risk-based businesses. Although the majority of our earnings come from our fee-based businesses, we're impacted by the low interest rate environment and as I'll discuss later in the call, we'll continue to work to mitigate that risk. As shown on slide 6, reported earnings per share were $1.15 for second quarter 2016, a 5% increase over the normalized year-ago quarter. We did not normalize any items in the second quarter as performance fees, claims and encaje performance were all within normal volatility. I'll cover those items in more detail in the business unit sections. At the end of the second quarter, trailing 12-months return on equity, excluding AOCI other than foreign currency translation adjustments, was 13.3%. This was down 140 basis points from the year-ago quarter, reflecting flat equity markets, a strong U.S. dollar and lower prepayment activity. Now I'll discuss the business unit results, starting on slide 7 with the RIS-fee businesses. Second quarter pretax operating earnings were $125 million, down 13% from the year-ago quarter. Revenues were negatively impacted by lower fee revenue and lower variable investment income, partially offset by diligent expense management. However, we've seen a strong 9% increase from the first quarter, reflecting growth in the business, improved market performance and continued expense management. On a reported basis, trailing 12-month pretax return on net revenue was 29%. After normalizing for the third quarter 2015 actuarial assumption review, the trailing 12-month pretax return on net revenue was 32% in second quarter 2016. Despite the ongoing competitiveness of the U.S. retirement market, we remain confident about our opportunities in this business. RIS-fee quarterly net cash flows were flat, reflecting the loss of one large client. The pipeline remains strong and we expect net cash flows to be at the upper end of our stated range of 1% to 3% of beginning-of-year account values. Turning to slide 8, RIS-spread quarterly pretax operating earnings were $70 million, a 2% increase over the normalized prior-year quarter. Growth in the business was partially offset by a decline in variable investment income. On a sequential basis, growth in the business and higher variable investment income generated a 4% increase on pretax operating earnings. While full service payout sales were lower in the second quarter compared to record sales in the prior-year quarter, we still have a strong pipeline in our target market. On a trailing 12-month basis, second quarter pretax return on net revenue after adjusting for the third quarter 2015 actuarial assumption review was 55%. Turning to slide 9, Principal Global Investors reported pretax operating earnings of $118 million, a 19% increase over the year-ago quarter and a 47% increase over the first quarter. Performance and transaction fees rebounded from the lower levels in the first quarter. Second quarter's fees are slightly above our long term quarterly expectations. However, on a year-to-date basis, these fees are in line with our expectations and are a good proxy going forward. Both the retail and the institutional platforms contributed to record assets under management, record operating earnings and positive net cash flows of nearly $6 billion, a contrast from recent trends in the active management space. On a trailing 12-month basis, the pretax return on adjusted revenues was 34% in the second quarter and within our targeted range. Slide 10 shows quarterly pretax operating earnings for Principal International were $70 million. Second quarter 2016 encaje performance was $5 million lower than expected on a pretax basis within expected volatility. Compared to the first quarter, operating earnings were up 3% due to the underlying growth of the business. Foreign currency tailwinds during the quarter were partially offset by headwinds from Latin American inflation. On a constant currency basis and adjusting for expected encaje performance, Principal International continues to produce mid-teens growth in operating earnings and revenues. Net cash flows for the second quarter were $3.2 billion, primarily driven by strong net cash flows within our two companies in Brazil, BrasilPrev and Claritas. BrasilPrev captured 59% of the open pension industry net deposits during the second quarter and Claritas, our mutual fund company in Brazil, generated $200 million of net cash flows in the quarter, demonstrating its strategic importance in this market. Although not included in Principal International's reported net cash flows of $3.2 billion for the quarter, our joint venture in China generated a record $45 billion of net cash flows in the second quarter but nearly all of the flows were short term in nature and with low basis-point fees. These institutional mandates carry no investment guarantees. Turning to U.S. Insurance Solutions, it was a strong quarter with pretax operating earnings of $104 million, up 18% over the prior-year quarter. We also had nice top-line growth, with overall sales up 12% and premium and fees up 7%. On slide 11, specialty benefits quarterly pretax operating earnings were a strong $67 million, an increase of 29% from the prior-year quarter, primarily due to a favorable loss ratio. The loss ratio was driven by positive claims volatility within our expected range, continued investments in our claims process and technology and strong underwriting and renewal practices. We expect the specialty benefits loss ratio to trend back over the next few quarters towards recent trailing 12-month levels with normal quarterly volatility. Specialty benefit continues to deliver above-market growth with a 7% increase in premium and fees on a normalized trailing 12-month basis. Normalized pretax return on premium and fees and specialty benefits was very strong, at the top-end of our targeted range. As shown on slide 12, individual life pretax operating earnings were $37 million for the quarter, a slight increase over the prior-year period, as growth was partially offset by slightly higher mortality. Normalized trailing 12-month premium and fee growth of 4% is within the targeted range. We continue to execute on our business market strategy, with sales in this market comprising more than half of the total individual life sales in the quarter. After removing the impact of the 2014 and 2015 third quarter actuarial reviews, the trailing 12-month pretax return on premium and fees was 15%, reflecting favorable mortality results. Corporate pretax operating losses were $55 million, reflecting the timing of some funded initiatives. We expect to be at the low end of our full-year range. For the quarter, total Company net income was $322 million, including net realized capital losses of $15 million. Credit-related losses continued to be lower than our long term expectations at $6 million. One risk the market has been focused on recently is the potential for an interest rate environment that stays low for a long period of time. With only 4% of our $573 billion of assets under management with a minimum guaranteed interest rate, we believe our exposures are manageable, given a business mix that's predominantly fee based, driving 70% of total Company operating earnings, a portfolio of guaranteed businesses that have varying levels of impact from interest rate risk, ongoing derisking activities in the design and distribution of guaranteed products and disciplined pricing as part of our asset liability management strategy. I'll close with some comments on our capital management strategy. As outlined on slide 13, through the second quarter we've deployed $453 million of capital with a commitment of approximately $118 million for our third quarter common stock dividend. We continue to target $800 million to $1 billion for the full year. Our deployment strategy remains balanced as we look at multiple ways to add long term value for shareholders. In second quarter 2016, we paid a $0.39 per share common stock dividend. Last night we announced an increase in our common stock dividend to $0.41 per share, payable in the third quarter, a 7% increase over third quarter 2015 on a trailing 12-month basis. In addition, we repurchased $104 million worth of common stock in the second quarter. We continue to execute on our Board authorized $400 million share repurchase program and as of today we have $250 million remaining in that program. We also deployed an additional $38 million in the second quarter as we increased our ownership in existing Principal Global Investor boutiques. As I started out saying, we continue to benefit from our diversified and integrated business model in volatile macroeconomic environments. Second quarter was another great example of the strong fundamentals of our business as a result of focused execution and disciplined expense management. This concludes our prepared remarks. Operator, please open the call for questions.
Operator: [Operator Instructions]. The first question will come from Ryan Krueger with KBW.
Ryan Krueger: I think first one probably for Jim McCaughan. Was just hoping you could comment on the impact of Brexit that you're seeing so far on PGI clients, client activity, as well as if there's any structural implications for your business.
Dan Houston: I'll have Jim handle that from a boutique perspective. Then I'd like to also have Terry take a shot at answering as relates to our UK holding company. Jim?
Jim McCaughan: First thing I'd say on Brexit is we have a very substantial operation in London so that could be a factor longer term depending on how over the next two to three years the Brexit negotiations go. Our main international fund product is domiciled in Dublin which will remain part of the Europe Union. We have our investment advisor and mutual finds domiciled in Dublin. That will allow us access throughout Europe almost regardless of how the negotiations go. We also in the European Union, just for completeness, have offices in Munich, Amsterdam and Malta, all of which give us some flexibility about how we will domicile and manage different businesses depending on how the negotiations go, so we feel pretty well protected here. Our first concern is we have many nationalities in London. It looks as if the ability of our various people in London to continue to be based there will be unimpaired, but that's something we're watching very carefully. That's probably our number one near term concern. As regards the clients, Ryan, we have actually seen if anything a boost to our business from the tensions within the European Union, if anything. Because largely what we're selling is global and dollar-based products which are extremely attractive in the very low interest rate environment you have in Europe. Europe has been a pretty good market for us. Even if economies are somewhat negatively impacted by Brexit, both in Eurozone and in Britain, even if that happens, we would expect to continue to be in a pretty strong position as a fundamentally global and cross-border player.
Terry Lillis: Ryan, this is Terry. I'd just like to add a couple comments onto Jim's comments. We're obviously monitoring what's happening there. We do think it's going to take a while for it to actually unfold. We're looking at it, watching it, the opportunities that we have obviously there, they could be positive, they could be negative. But at the same time, we think this is a very efficient model for the UK holding company to help us to move capital efficiently and effectively around our operation, our international operation, both for international investment boutiques as well as our Principal International businesses. That said, we still will continue to monitor and look for additional options that we can do to take advantage if it does actually turn negative. At this point in time we're not anticipating any changes.
Dan Houston: Ryan, this is going to obviously play out over a long period of time. They've not even given their formal withdrawal notification at this point which could be sometime this fall, then they've got two years after that. We expect there to be a lot of negotiating and a lot of haggling between now and that point in time. Is that helpful?
Ryan Krueger: Different follow or separate question. In terms of Brazil, can you talk a little bit more about what you saw that led to such a big pick-up in the flows this quarter?
Dan Houston: Yes, I'll make kind of a broad comment and throw it over to Luis. Brazil gets in the headlines a lot. Obviously when your President's impeached, it's going to do that. Just as a reminder, when you think about Brazil, we know that there's relatively high inflation, there's high unemployment. We also know that in Brazil right now that we've got a rebound in the currency. The currency's up on a year-to-date basis about 22% and we know the stock market's up about 31%. So in spite of the Zika and the Olympics challenges, Brazil and in particular our partner, Banco do Brasil, has been very strong through this, for this first six months. Luis, you want to talk more about our business there?
Luis Valdes: Yes, Ryan. Certainly the new administration, the Temer administration, is having a profound impact about the moods in Brazil and certainly we're very much more confident that the recession is not going to be that tough as it was predicted for 2016. Even analysts are saying that probably in 2017 you're going to have probably a flat economy, if not a little bit positive. That is impacting a lot of moods for our clients and particularly we have been able to see a very important rebound in our activity in Banco do Brasil, particularly Brazilians continue saving money for their long term saving needs and retirement needs. It's very clear as well that for a long time the Brazilian government is going to be unable to put together some kind of strong pillar one for pensions so voluntary pensions and open pension companies are going to continue playing a very important role in that country. We remain very optimistic about our business in Brazil.
Operator: The next question will come from Seth Weiss with Bank of America.
Seth Weiss: Want to ask a question on revenue growth, specifically within the retirement fee business. On a quarter basis year over year is down 5%. If we look trailing 12-months it's down 4% despite what appears to me flat asset levels over both those periods. I understand that flat markets, lower variable investment income, make it difficult to hit the growth targets but the decline there a little bit greater than what I would have expected. Just curious if this is indicative of fee pressure, asset mix shift or some other factor I'm not accounting for.
Dan Houston: You're certainly touching on some of the key drivers there. This business is a real flagship for the organization, has been for a long time, strong margins, strong growth. It's certainly a feeder to what Jim does within asset management. It supports the bank, [indiscernible] line, the mutual fund line for rollovers. We had a very difficult comparison to a year-ago quarter but with that said, I'm going to ask Nora Everett to weigh in and talk specifically about some of the challenges on the revenue line. My last comment of before throwing it over, a lot of credit to Nora and Greg Burrows and the team for really doing a nice job managing expenses to ensure that we're aligning our expenses with our revenues. Nora?
Nora Everett: You've identified underperforming equity markets. You've identified the fact that we quarter-over quarter had the variable investment income down. What you're asking about is really the gap between account value growth and revenue growth. This is a gap that's been part of our business for many, many years. This isn't a new phenomenon. If you look quarter-over quarter sometimes can be a bit -- it can bounce back and forth, but if you look at a trailing 12-month period over the last many years, you're going to generally see that gap and remember, this is a growth gap. You're going to generally see that between 4% and 5%. Sometimes it's going to be more. Sometimes it's going to be less. In a down market you might see that gap close a bit, but the fact there are many, many factors that are contributing to that. They're industry factors. There's product mix changes that you get in your block. There's business mix changes that you get in your block. Obviously there's investment mix changes that are going on, on a constant basis and then there's competitive pricing. I could go on and on. There are other factors, but you get the point. There are a number of different factors that are going to impact that delta between the account value growth and the revenue growth. We're seeing the impact of that as is everybody in the industry.
Dan Houston: Seth, was that helpful?
Seth Weiss: That's helpful. Thank you. I suppose I understand the delta when you have growing markets, given some of the fixed portion of the fees that come in. In flat markets, though, seeing that delta at that same 4% to 5%, you start to question in terms of sort of the structural pressures. I guess, Nora, you're touching on that on sort of the fees and asset mix shifts. What I wanted to shift to and Dan you alluded to it on the expense management side and the quarter beat particularly within our RIS-fee and PGI really seemed to be on the expense side. I was encouraged to see those expenses really flat to down. Was curious if you could speak about that maybe on a global level in terms of what you're doing on expenses and how sustainable that is going forward.
Dan Houston: Good question. The first thing I'd say is there's not an across-the-board mandate to reduce expenses. What we've tried to always do, Larry did it, Barry did it, Terry's certainly been at the forefront of this as we've migrated the Company, is to really look at the revenues that we're generating and what expenses are necessary in order to get a delta between the two. That's where our focus is on. Again, not anything across the board but by business unit within Jim's operations and Nora's and Deanna's and Luis', as well as across corporate, we're looking at how do we line those expenses for the revenues we're able to create. It doesn't happen overnight. I would tell you, we've been at this now for -- it's an ongoing effort and we're going to continue to focus on that. At the same time, what I would tell you is we're making the investments where we need to make investments. We have to make an investment in DOL. We have to make an investment in technology. We have to make sure our products are relevant. Part of the of diminution of the revenue stream that Nora mentioned was around investment mix. If someone chooses a collective investment trust that has a similar investment strategy but the underlying revenue associated with it is less, that's good for the customer, good for the participant, good for the advisor and we need to recognize we have a little bit less revenue coming in. This won't go away at the end of this quarter or the next quarter. It's something we're going to continue to keep top of mind. At the same time, never put the mission and the strategy of the organization at risk. Is that helpful?
Operator: The next question will come from Michael Kovac with Goldman Sachs.
Michael Kovac: If I could follow up on some comments that I believe Dan made in the opening remarks on the DOL and appreciate the increased disclosure there. First one is related to the new solutions that you mentioned, could you provide us more context of what that is and how that compares to the current business mix in terms of both product and then potentially margin?
Dan Houston: I'd be happy to do that. I'm actually going to have a number of us take a shot at this because it's a good opportunity to really speak to some of the underlying details of DOL. I think about it impacting in three different areas. One area which Deanna will cover, is around Principal Advisor Network, our 1200 advisors that are out there every day supporting small- to medium-size businesses and their business owners. Nora, on the retirement space, of course we have impact on our ability to attract and retail rollovers at benefit event for job changers and retirees. Of course, within Jim's organization we have the mutual fund company and certainly could impact DCIO as well. With that, Deanna, do you want to make comments on PAN?
Deanna Strable: Just a couple of comments. Some of this will add onto some of the comments I made in last quarter's results. I think the first thing to keep in mind, as Dan mentioned, we have 1,200 kind of proprietary advisors across the United States and I think the first thing to remember is they sell across the broad range of products that we offer here in the U.S.. Actually if you look underneath that, the majority of that system's revenue are actually coming from products that are not impacted by the DOL regulation. That could be obviously our life insurance business, disability insurance business, group benefits as well as non-qualified transactions across retirement and PGI. I think that's the first thing that is great to understand. And then I think underneath that, obviously the final regs do have a path forward for proprietary products and even today our affiliated advisors already have choice between different types of products as well as different proprietary and nonproprietary offerings. We think that puts us in a good stead to continue to offer them a competitive set of products and solutions but also put us in a good stead going forward. I spend a lot of time with these advisors and I continue to have confidence that they already properly evaluate their customers' needs and make recommendations that are in the best interest of the customer. I think even though this is going to put some additional compliance and monitoring relative to that, as we leverage the [indiscernible] for both our retail and retirement plan business, I do feel that both the current business model of those advisors as well as the processes and training we'll be putting in place, really do provide a path forward for this part of the business and how it interacts with all of our product solutions.
Nora Everett: Sure. Mike, you asked about solutions and I'll look at it you through the retirement plan lens. We're actually really, really confident in our ability to work with our alliance partners because we're out there working with them right now. They're going to make decisions about their business model and we're ready to execute on that. We've already got a couple things that are in place. We actually have services and products that are in place that already address the DOL rule, levelized commission structure for the broker dealers. Most of our dealers already use this levelized comp solution that we have. We've already got a zero-revenue share investment platform for both of our fee-based and commissioned advisors. That's where we collect administrative fees from participants directly, another solution under the DOL rule. We already have an integrated third-party investment fiduciary service, so that's an example of a product and service that we've had in place for many years. That's going to directly address the DOL, one of the models that many of our advisors may choose to outsource that third-party investment fiduciary piece. We have a number of in-plan solutions. The new option, obviously, for all of us in the industry is what we call the BIC, the best interest contract. As we're out there talking to our distribution partners, we're finding that many of them are going to look and probably execute under the BIC. We're working with them to help design our end of that equation that then hooks into their end of that equation. The platform exception is one other example, prepackaged investments. We're having discussions around that. Bottom line is we've got a lot that's already in place and actually we've been executing on it for a number of years and we're out there with our alliance partners. Many, many of them may be leaning to the BIC and we'll be ready to go on that front.
Jim McCaughan: Thanks, Dan. In the mutual fund business the adverse impact for the business generally will be around moves towards lower-cost share classes. For us, a move to lower-cost share classes basically means share classes without a 12b-1 fee or a front-end load. But that move has been going on anyway for several years. For example, 70% of our A shares in our mutual fund business is already load waved, so it's a pretty small minority of our mutual funds where we have a front-end load. That will eventually go away, perhaps accelerated by the implications of the DOL rule, but it's a pretty small amount for us and currently we're collecting around $5 million annually from the entire front-end loads. That is a pretty modest impact and it will go away gradually. On the 12b-1s, those are basically a pass-through for our business. They're a way that advisors get paid and then it's passed through by the fund company, so the effect of 12b-1s going away should in the end be negligible over the period it happens. We don't see that as having a big implication. It's all part of the general fee erosion which is happening in mutual funds which just means we have to get more efficient. I think also I'd be remiss if I didn't point out a couple of opportunities. One is if you look around at retirement platforms in the industry generally, there may be a move away from poorer performing or less well designed proprietary products. That will be an opportunity for us to offer our products in a defined contribution investment only basis and we're increasing our resources devoted to finding those clients. Secondly, on the efficiency point, I'd remind you we did a business integration announced early last year of our fund company with Principal he Global Investors. That is enabling us to grow the business without adding cost. It wasn't done as a cost take-out. We haven't had any reduction in forces consequent on that operation, but it's an opportunity for us to gradually redeploy people, become more efficient and actually do more business with our existing team.
Dan Houston: Thanks, Jim. Mike, just maybe three closing comments on this topic and it's probably more than you asked for as relates to DOL specificity. When you look at the cost, the underlying cost, there's a lot of training and a lot of education and a lot of development within our own staff, within our own call centers, within Principal Advisor Network, within our partners. That contributes certainly to the cost. The second is, as you heard from Deanna and Nora and Jim, a lot of this has to do with adapting current product to retrofit it to work with the marketplace. It's not going to require refiling. A lot of what we have is going to be able to be modified to work. Lastly, I would tell you we're on our front foot in working with our distribution partners. They embrace the conversation. They want to have the conversation. And we're feeling pretty optimistic about how we can work our way through the DOL reg. Any additional comments?
Michael Kovac: Just a numbers question. You gave us some increased disclosure in terms of what the compliance costs would be. Can you sort of break down what you're putting into that $5 million to $10 million go forward and maybe $18 million to $24 million upfront? Is that sort of all retraining or some of these product sort of shifts that you've mentioned also in those numbers?
Dan Houston: That's D, all of the above. It was our attempt to try to capture as much as we could. We're not going to go into the nitty-gritty detail of breaking each one of those down. Each one of our service support areas, each one of our BUs, distribution areas, did the best job they could to quantify what they thought they would have invested and making the modifications around training, around development, around modifying the products themselves. We think it's our best guess and as Terry always reminds me, it will be wrong. Just a matter of degree of being wrong. But we feel pretty good about the number in total. Thank you for the question.
Operator: The next question will come from Humphrey Lee with Dowling & Partners.
Humphrey Lee: The question related to the China business over there. You mentioned a lot of the inflows in the quarter were institutional money. Were they predominantly related to a single party or was it a more broad base of clients?
Dan Houston: Humphrey, good question and one that Luis is all too familiar with. Luis?
Luis Valdes: As you know, let me try to provide some background in China. The Chinese government has been very focused on deleveraging that economy. In line with that, CCB Bank, our partner, has been very focused in order to work and increase the quality of their loan portfolio in their bank. Having said that, in the of last quarter instead of to loan money which is going into bank deposits, they decided to invest that money in short term fixed income and they moved that money essentially into our JV, our asset management company. The source of that money is, that is the source of that money. Having said that, that is why we got $45 billion in net customary cash flows. This is China. But none of that money that I mentioned to you coming from CCB bank. Out of that, $2 billion or $3 billion are part of our underlying long term saving mutual fund retail business. That is essentially from where that money's coming from.
Humphrey Lee: Staying on the topic of China, so recently there's some discussion about the Chinese government is curbing the wealth management product and kind of maybe limiting the options available to retail clients. My understanding is for fixed income funds would probably be less affected. My understanding is your JV's [indiscernible] offering very strong in the fixed income component. Maybe you can talk about some of the regulatory changes there and maybe opportunities there going forward.
Luis Valdes: That is a good question. The Chinese government has been very eager and keen to try to, I would say, reduce the activity related with the wealth management products, also trying to manage in some way all the shadow banking and also other type of activities and lending activities that you might have there. We're not reporting and we never have reported any kind of wealth management productivity and in our JV, we don't have almost nothing in a very small part of our asset management in the JV that we're not reporting that money, is that kind of wealth management product. But we have a very marginal activity in that part of the business in China in our JV.
Humphrey Lee: But then if there's a greater demand for kind of fixed income type mutual funds, maybe talk about your product offering of the asset management platform of the JV and how you can maybe capitalize the opportunities there.
Luis Valdes: What we're doing even -- you have to consider the China mutual fund industry is a very short term oriented by nature. What we're doing, we're moving and shifting our strategy in order to be a long term saving provider in China. It looks difficult but we're going to do it and it's going to be a long march in China. As an example, we just launched a final fund presently in the month of July and that's allowing us to really, really offer different kind of solutions, balanced funds and asset location products to our clients. The idea is to expand that offering into the bank platform in order to start moving and continue moving and shifting our strategy towards more long term oriented funds in China. We do think that we do have a very good opportunity in order to do that and we're going to continue moving our JV in that direction.
Operator: [Operator Instructions].The next question will come from Suneet Kamath with UBS.
Suneet Kamath: I wanted to start with Terry on capital deployment. If I think about the $800 million to $1 billion guidance for the year and I think about what you've done and sort of what you've committed to, I think I'm getting pretty close to the high end of that range. What are the chances of perhaps an upsize to that $800 million to $1 billion target for 2016?
Terry Lillis: This is Terry. $800 million to $1 billion is what you mentioned. We look at this as a balanced approach of capital deployment to our long term shareholders' strategy and value. Most of our businesses like we talked about in the past are fee-based businesses which generates a lot more of that capital earnings that are available. As you look at that $800 million to $1 billion, we've already made a pretty good dent in it already in terms of capital that we've deployed in the first half of the year as well as we've committed to. We announced our increase in the third quarter dividend up to $0.41. We're pleased with that. We're progressing towards that 40% payout ratio. We're continuing to move towards that. Acquisitions, we put more into the boutique strategy which is part of our long term strategy, buying part of additional shares of Finisterre origin, CCI as well as Claritas. That's a good, consistent process that we've been having in place for a long time. The share buyback program, you're aware that we had a $400 million authorization in February. We're executing on that, as I stated in the comments that we've executed. We still have $250 million of authorization going forward. So far what we've deployed and committed is over $600 million so far. Now, we have options for the rest of the year. Hopefully we'll pay out a dividend in the fourth quarter which we assume will happen and M&A activity, we're always looking for options and opportunities there. Share buybacks, as I mentioned just a few moments ago, $250 million of that authorization. With the low interest rate environment right now, Suneet, there's some opportunities. There's some opportunities to actually execute on some of our debt maturities that we have coming up. We have, in 2017, we have $300 million and that's at a 1.8% coupon. 2019 we have a $350 million which is at a high 8 7/8% coupon. We have an opportunity to actually execute on that, enhance the overall return to the organization and reduce our leverage ratio. Right now we're under 24%. We're marching towards 20%, so we have options. Now, are we going to exceed that $1 billion? I can't say at this point in time, because as I mentioned, share buybacks and some of those upper opportunities will continue to unfold as the year goes on. But if you look back to last year, if you look back to 2015, we said that $800 million to $1 billion and we were a little bit over that, $1.07 billion which was about 90% of our net income. We're continuing to deploy capital in what we believe is a balanced approach to enhance the long term shareholder value. So stay tuned.
Suneet Kamath: I had one other one for Dan if I could. On the DOL, on prior calls we've talked about maybe one of the benefits of the DOL is that you'd retain more assets perhaps in the FSA accounts, just on lower rollover activity. As I've been thinking about that, given the high level of retention that you have on rollovers and into Principal product and my view that maybe the margins in those products that the assets are rolled into are higher than FSA, I'm trying to figure out, when we net it all together, if that ends up being a positive thing from a margin perspective or if it actually kind of works against you a little bit.
Dan Houston: No, I actually think it's a plus. I mean, at the end of the day we're here to serve the needs of the customers. These participants have long term needs, in large part how to convert these lump sums into lifetime income. It's frankly one of the reasons why I like this diversified model that we have. Whether it's purchasing an income annuity, whether it's having some sort of drawdown strategy, whether it's investing in an asset allocation strategy that allows for income and retirement or whether or not they want to purchase CDs from the bank, there's so many different -- so much optionality for a retiree and benefit event. Will there be a longer disclosure process at benefit event? Yes. Will we be able to operate very much like we have in the past? I think so, with the appropriate amount of disclosure and we have really competitive products. Whether the money stays in the plan or goes into one of the rollover products, I feel very optimistic about our ability to maintain and perhaps enhance margins in the post DOL regulatory environment. Appreciate your question. Thank you.
Operator: We have reached the end of our Q&A session. Mr. Houston, your closing comments, please.
Dan Houston: Again, thanks for joining us this morning. We feel good about the quarter. It was a very strong quarter. We think that the diversified and integrated business model is the right model for Principal against fee and spread and the risk businesses. We're going to continue to enforce a disciplined approach to expense management. It served us well in the past. It will continue to do in the future. As Terry was talking there, we're going to take this very long term, balanced approach to capital deployment. Whether it's through acquisition, investing in our organic growth, paying down debt, dividends, et cetera, but again, those are heavily vetted. They're thought through. We discuss them with the Board at length. Again, we're doing the best job we can to support the interest of the long term shareholder. With that, have a great day. Hopefully we'll see you in Tokyo, New York or somewhere else on the road. Have a great day. Bye.
Operator: Thank you for participating in today's conference call. This call will be available for replay beginning at approximately 1 PM Eastern time until end of day August 5th, 2016. 43255452 is the access code for the replay. The number to dial for the replay is 855-859-2056 U.S. and Canadian callers or 404-537-3406 international callers. Ladies and gentlemen, thank you for participating in today's conference call. You may now disconnect.